Denise Garcia: Hello. And welcome to the eXp World Holdings Fourth Quarter and Full Year 2024 Earnings Fireside Chat via Live Stream and our Metaverse on the web frame. My name is Denise Garcia and I manage Investor Relations for eXp World Holdings. Today we will begin our earnings fireside chat with remarks from Glenn Sanford, Founder, Chairman and CEO of eXp World Holdings; Leo Pareja, CEO of eXp Realty; Spring Bengtzen, CEO of Utah Life Real Estate Group; Wendy Forsythe, CMO of eXp Realty; and Kent Cheng, Principal Financial Officer and Chief Accounting Officer at eXp World Holdings. Following our prepared remarks, we will open the call to Q&A session with our speakers, but let’s begin with a review of the forward-looking statements. There’ll be a number of forward-looking statements made today that should be considered in conjunction with the cautionary statements contained in the company’s SEC filings. Forward-looking statements are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. Please see our filings with the SEC, including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q for a discussion of specific risks that may affect our business performance and financial condition. We assume no obligation to update or revise any forward-looking statements or information. As a reminder, today’s call is being recorded and a replay will also be made available on eXp World Holdings. Now for a few logistics, and we’ll get started. First, welcome to our Metaverse on the web. For those of you joining in frame today, welcome. To zoom in on a specific screen, you can click on that screen and then click Zoom In. If the content on the screen disappears or you lose audio, simply refresh your page. While in frame, if you need help, just use the Help button at the bottom right link -- on the bottom right to link with tech support. If you wish to ask a question during our presentation, you can enter your questions by scanning the QR code presented on this screen with your mobile phone or go to slido.com and type the event code EXPI. From there, you can submit a question or vote up an existing question by giving a thumbs up if you would also like that question to be asked. This screen will remain up on the right-hand side of the stage. Now, I’ll turn the fireside chat over to our speakers before opening the call to questions. Glenn, you may begin.
Glenn Sanford: Thanks, Denise, and thanks everyone for joining us here today. Before we review our fourth quarter and full year results, I want to take a moment to discuss the big picture and the powerful platform we’ve built for eXp. Obviously, we have eXp North America, and this really is the driving engine that is allowing us to expand around the world. As -- when you do look at, when Kent pulls up the segment level reporting, you’ll see that North American Realty continues to be a profit center for the company and that allows us to really build this thing in a way that nobody else can build because we are a sustainable, profitable business. We’ve spent more than 15 years building the eXp platform and this has made eXp the only brokerage at scale that includes a full marketing suite for agents, personal development services, we’ve got obviously health resources for agents, first company in the world to do that, first company in the world to provide a meaningful rev share in equity, and then, of course, you’re seeing one of our innovations that we’ve invested in, which is really the enterprise-level metaverse platform called FrameVR, which allows us to actually run this company worldwide. So now I’ll move on to some of the highlights from the fourth quarter. Where I’ve focused a lot of my time and attention has been -- since July last year has been on the International side of the business and it’s really turned the corner in terms of what we’ve been doing. In fact, last week, a number of members of our team went to Egypt. I actually also went to Dubai. We were there helping Open Egypt and also supporting the launch of the Egypt MLS, which is actually with our business partner and also who’s also partnered with the government on the MLS front. So we’re really excited about where that’s going. We ended last year with productive agents at an all-time high in International. In fact, International revenues grew 63% over 2023 and fourth quarter. That continued to accelerate and we actually grew at 72% in the fourth quarter. So you’ll see International playing a larger and larger role in eXp as we continue to grow. At the same time, International has been putting on phenomenal growth. It’s also been getting more profitable as a standalone part of the business and that’s because we’ve become more and more efficient over on that as different countries get to scale. So we’re also, as I mentioned, we’re also in the process of opening up some additional countries, and this includes Turkey, Peru and Egypt. And actually in June of last year, we expanded our agent referral platform globally and eXp now has presence in 22 going on really 20, 27 countries with the addition of the three countries, along with the global referral platform, which increases our business capabilities and network prospects for eXp agents worldwide. In fact, that’s one of the things that we hear consistently around the world is our national presence -- our International presence is of significant advantage to agents around the world because of the way that consumers will buy in multiple countries around the world and moving around the world. The referral opportunities going back and forth is getting more and more significant. So I continue to expect that International will be the largest driver of future growth for the obviously domestically still growing lots of opportunities as well. But just to put it in perspective, there’s likely somewhere around 10 times as many agents outside of North America that are operating in the business real estate than there is actually in North America. So really excited about where that’s going to go. And with that, I’ll turn the call over to Leo, who will walk you through some of the North American highlights. Leo?
Leo Pareja: Thank you, Glenn, and thanks for everyone who’s joining us here today. I want to start off by talking about our NPS score. As you know, it is our North Star. It is the heart of everything we do because agents and serving agents is the most critical thing at eXp. We measure this throughout our Net Promoter Score throughout the entire organization. It’s vastly accepted that anything over 50% is a great score. And last year in 2024, we actually increased three points from 2023 to 76. This is a very important feat, especially in the environment we’ve had with the amount of complexity and change we experienced last year. I’m extremely proud of the fact that we got very positive feedback from the transaction process. 88% of our agents would have rated their transactions a nine or a 10. And given the amount of turbulence our industry experienced last year, that’s something we’re extremely proud of. We’re also extremely proud of the feedback that our state broker teams are constantly getting. And so you can see some of the quotes here to improve the experience, not only from in the transactions day-to-day, but also onboarding in programs that we’ve rolled out like our White Glove onboarding process. Moving on to the next slide, I’m extremely excited and proud to say that we’ve received an award for the eighth consecutive year of being one of the best places to work by our employees. This is a testament to the culture that we’ve built and being recognized for the innovative products and experiences that we create for agents every single day. Moving on to the next slide, what’s driving the success? So it’s a combination of lots of initiatives. One that’s super important is the initiatives and incentives to attracting some of the most productive people in the industry. Our fast track -- fast start attraction bonus paid out well over $8 million to 7,000 agents in 2024. And in that same year, we revised our Pioneer RevShare program to make sure that we are still as competitive as possible and in the top of our game. We continue to really pour into our industry-leading education and training programs. eXp University saw a huge increase at 111% increase from 2023 to 2024, and we hosted regional rallies in 20 different locations throughout the entire year of 2024. And going into 2025, just into the spring alone, we will be doing 18 locations. With the NAR [ph] legislation being such a big topic, we provided agents with buyer representation toolkits, seller representation toolkits and to support agent attraction. We also open-sourced that in such a turbulent time in the industry to make it available to as many people as possible. Moving on to the next slide, one of the things that is core to our thesis is that we can’t build all things ourselves. Some of our competitors out there believe they’re tech companies and it’s very much in our core that we are a world-class brokerage that’s tech-enabled. So part of our thesis is to go partner with the best-in-class collaborative tools to make everything go faster, stronger, better. Canva Pro was released to every single agent and that was a huge success. In the first 30 days, we had over 68,000 designs created, and in the first 60 days, that number climbed to 189,000 designs. We also partnered with Sisu, which is an industry-leading business tracking platform to increase productivity, comprehensive project management for team leaders for recruiting, onboarding all of their team members. And last but not least, our luxury group grew by 46% in 2024. We opened up our membership applications to 22 countries and Puerto Rico in 2024. With over 8 billion listings, we’re promoted through our luxury platform in the year 2024. Now, I mentioned earlier that we’re very focused on creating best-in-class training and education. FastCAP is a program we launched in September, and I couldn’t be more excited, and I predict that this will be a very important piece of our platform for educating agents. It is a six-week agent-intensive immersive program where we walk agents step-by-step to a blueprint on how to build their business quickly, and most importantly, for no additional cost. This is very important with the Sisu partnership we did because we gamified the process to have agents have an amazing result when joining the company. These results are unparalleled. Most of the agents going through this program are brand-new agents and the results are from the activity created during this six-week immersive program. So at scale, basically four appointments turns into two signed agreements, and the agreements could be either a buyer agreement or a listing agreement. For the folks that did the minimum standard suggested in the course, those numbers jumped to almost seven appointments with 3.8 signed agreements. So the program is in its early days, but the results and the feedback from both new agents, and to a pleasant surprise, seasoned agents who wanted a refresh are through the roof. Moving on to the next slide. And going into 2025, we’re moving in with super strong momentum. These are the kind of programs, education and training that support and have helped drive our strong momentum in the fourth quarter with an increase of 12% in transaction count per eXp agent and a 23% increase in sales volume per eXp agent. I’ve also highlighted this is a very strong December for us with the top 10 teams in the United States closing a combined $439 million in sales volume and that speaks to the talent we’ve been able to attract in 2024. In December, we had Kris Caldwell out of Denver join, who was one of the top teams at Compass, bring over their entire team, Zillow Flex Partner with over $200 million in volume, which is a testament to the type of talent we’re attracting. Next is Gina Kirschenheiter and Travis Mullen in Orange County. They are quite famous from the Real Housewives show and their launch video went viral. Next slide. Jeff Quintin from New Jersey joined us after spending a decade at Keller Williams and being ranked as one of the top agents on the RealTrends and Wall Street Journal list. And Justin McLaughlin came back after leaving us for Epique for seven months and returned to eXp with his 15 agents. Previous to leaving, he was a three-time ICON winner, which is a testament to the platform. And even for the folks who have chosen to go explore what potentially could be the grass is greener, we’re having a very high boomerang rate of returning back to the company. Next slide. Now with that, I want to actually bring up an agent who joined us in January, who’s one of the biggest joiners we’ve had join us, $318 million in 2024 with 660 closed units. Spring Bengtzen is here with us, and I’m just going to have a small chat with her about the decision-making process. She was at our competitor as not only one of their top agents, but also one of the top attractors. So we thought it would be an interesting conversation to just have in front of the Wall Street audience and our agents listening on the call. And so Spring, thank you for joining us. And we’ll keep it brief, but I was just curious, as you were making the decision and seeing the opportunity, what is -- what kind of got you into a conversation with us and ultimately decided to make the move?
Spring Bengtzen: Yes. Well, thank you for having me, Leo. I’m grateful to be here. I believe that eXp is in its 2.0 era with over 80,000 agents strong. The foundation, you guys have a really solid foundation of operational excellence and your focus on agent production and growth was very attractive to me. I, as you mentioned, run a large team out of Salt Lake City, Utah, and production always comes first in my organization. And eXp’s emphasis of being home of some of the highest producing teams in the industry, as well as there’s a lot of opportunities to participate in multiple masterminds, events, training opportunities and the resources just to collaborate with top producers was really attractive to me to be able to scale our retail production business. On top of that, beyond production, your guys’ enhanced revenue share program played a major role in my decision. Unlocking level five for capping is a game changer. And then also unlocking, if you’re an ICON agent, unlocking all seven levels is massive opportunity for myself and other agents for growth and scalability. It’s really unmatched, truly unmatched in the industry. I’m really excited about that. And then the other factor I would say, Leo, was your stock equity program. The fact that you let agents participate and contribute up to 5% or 5% of their commissions, and it’s uncapped, really creates a great opportunity for us to invest in the future of the company and in the future of our personal growth and having an ownership stake in eXp is something that truly sets the brokerage apart and it was one of the key factors of why I made the decision.
Leo Pareja: Thank you so much, Spring, for joining us and also sharing those comments with everybody.
Spring Bengtzen: Thank you.
Leo Pareja: Wendy, I will hand it off to you.
Wendy Forsythe: Thanks, Leo. And thanks, Spring. In 2024, we focused on aligning our eXp value stack to provide our agents with the best tools, services and support in the business. Our mission was to make our value stack such an integral part of their business that there is no way that they would want to go to any other brokerage and that their partnership with eXp would be so valuable. You can see on the graphic on the screen all of the tremendous elements that we have today as part of our eXp value stack. This realignment and reinvestment in our agents is having tremendous impact. We challenged our agents in our January kickoff event to make bold moves in 2025. eXp 2.0 will take our legacy of innovation, disruption and vision to the next chapter. And our agents are excited about that. You can see the quote we have here from one of our agents from San Diego, Dan Beer, who has been re-inspired by our tech stack, our value stack and everything that we’re doing in the growth of his business. We know -- if we go to the next slide, we know that our agents are our superpower. And this year, we’ll continue to tell our agents stories. Stories like Cher, who is our youngest ICON agent in South Africa. Stories of success like David, who joined us after a long career and has reached ICON status four years in a row. Stories like Sunny from Vancouver, Canada, who joined us to build multiple income streams in his business. And stories like Dana from St. Louis, who brought her entire independent brokerage over to eXp because she wanted to empower her agents to expand their income to new levels. These success stories are what attract and retain agents here at eXp. We’re very excited about the year ahead, and we invite you to join us at one of our marquee events in Montreal, Barcelona or Miami, where the power and passion of our eXp community will be in full effect. And with that, I’m going to pass the stage over to Kent to review our financial highlights.
Kent Cheng: I’d like to start by emphasizing that at eXp, our financial success begins with our agent. Their dedication and engagement are at the heart of our performance. In Q4, our agent Net Promotion -- Net Promoter Score remains strong at 77, reflecting the continual satisfaction and loyalty of our agent community. Despite a challenged macroeconomic environment, we delivered $4.6 billion in revenue in 2024, up 7% from the prior year. This growth is a testament to the strength of our platform and resilience of our business model. In Q4, real estate sales volume increased 17%, driven by a 12% year-over-year improvement in agent productivity. Full year International revenue grew 63% in 2024, accelerating from 50% in 2023. In Q4 alone, International revenues surged 72% year-over-year. From a probability standpoint, we reported a net loss from continued operation of $16.8 million for 2024. However, when adjusted for the $34 million litigation contingency and $4.9 million impairment charge net of tax, the full year adjusted net income was $12.2 million, an impressive 247% increase over the prior year. Additionally, we delivered adjusted EBITDA of $75.5 million for 2024, representing a 16% increase year-over-year, a strong achievement despite the significant market headwind we face. On the next slide, I will walk you through the key financial and operating metrics that drove our performance in Q4. In the fourth quarter, we grew revenue by 12% year-over-year. Our productive agents and agent teams were the key drivers of this growth, contributing to a 6% increase in real estate sales transaction. This translates to a 12% increase in transaction per agent, reflecting the continued improvement in agent productivity. We maintained a sustainable gross margin, which stood at 12%, excluding revenue share and stock-based compensation. From a profitability standpoint, adjusted EBITDA grew 151%, a result of our disciplined approach to operations and cost management, while continuing to invest in our agents and staff. Our cash position remained strong. We ended the quarter with $113.5 million in cash, ensuring financial flexibility as we executed our strategy. Operationally, we closed the quarter and the year with a total of 82,980 agents, reinforcing our position as the most agent-centric brokerage in the industry. On the next slide, I will highlight the financial and operating metrics that drove our full year results. The full year trend is similar to Q4. Our business performance remained strong and consistent throughout the year, despite a challenged market condition. For the full year 2024, we grew revenue by 7% year-over-year. We maintained a solid gross margin of 12.6%, excluding revenue share and stock-based compensation. Adjusted EBITDA increased 16% to $75.5 million. From an operational standpoint, we successfully completed over 430,000 real estate transactions, a 3% increase over the prior year. Sales volume reached $185 billion at 9% year-over-year, driven by a 6% increase in transaction per agent. On the next slide, I will break down the financial results by segment. Our North America Realty segment remains the primary driver for both revenue and profit for the company. Despite a challenged U.S. financial market, we delivered strong results. Revenue for the fourth quarter grew 11% year-over-year to $1,068,000,000, driven by a higher home sales price and improved agent productivity. For the full year segment, revenue increased 6% to close to $4.5 billion. Profitability also saw significant gains. Fourth quarter adjusted EBITDA increased 63% year-over-year to $14 million, while full year adjusted EBITDA surged 151% to $99 million. As Glenn described, International continued to grow revenue while getting more profitable, improved adjusted EBITDA profitability by 31% year-over-year. Other affiliate services, including Frame and Success, contributed modest revenue and adjusted EBITDA. I’d like to take a moment to highlight our equity program, a unique and differentiated component to our agent compensation. In 2024, we issued 1.8 million shares to our agents throughout the agent growth incentive program, with an estimated total value of $22 million. Looking at the longer time horizon, over the past six months -- six years, we have issued more than 13.3 million shares to agents through this program, representing an estimated total value of $227 million, a testament to our commitment to agent ownership. In addition to issuing shares, we remain committed to responsible capital allocation. In 2024 alone, we purchased over $141 million of common stock, representing more than 11.9 million shares. This effort helped us maintain our shareholder ownership stake and equity value. With that said, I’d like to turn the presentation back to Denise, who will facilitate our Q&A session. Thank you.
Denise Garcia: Great. Thanks, Kent.
Glenn Sanford: Thanks, Denise. And thanks, everyone, for joining us here today.
A - Denise Garcia: Thanks, Kent. I’ll kick off with a question for everyone on the team before we open the call to questions. First, I’ll start with you, Glenn. How is International different than domestic U.S. and Canada?
Glenn Sanford: Yeah. Well, I apologize for repeating myself there momentarily. So, I’ve had a chance now for about seven months, eight months to be working really in the trenches with the International team. I mentioned going to Egypt and Dubai this last week. But one of the interesting things I’ve noticed, last week was the launch of the Egypt MLS that’s being launched in conjunction with the government there. And what’s interesting is here in the U.S., there’s been this big debate that has been created about private marketplaces, and some of the data that’s coming out and even was one of the driving factors toward the more ubiquitous marketplace than MLS provides is that, sellers generally can sell for a shorter period of time and for higher dollars because of the MLS. In fact, our partner was actually a high producing agent in the U.S. from Egypt originally. And what he had found helped validate that with his Middle Eastern counterpart. So, it was pretty cool to kind of see some of this taking place. But International is really where we’ll say the U.S. and Canada was 30 years, 40 years ago. In fact, it’s sort of like the web met real estate without the benefit of the MLS. And so, you’ve got all these disparate portals that are lobbying for advertising and promotions and charging agents significant dollars to get exposure, but they don’t have any interest in data quality or a number of other factors. So, what we’re seeing is, you know, eXp is bringing kind of a professionalizing influence and we’re being recognized, which is really, really interesting. We’re being recognized as the company bringing this new way of working to other parts of the world. So, I’m really proud of what we’ve done so far. It’s one of the reasons why you’re seeing an accelerated growth in International. We’re getting really clear on messages that we think are important to consumers, to agents, to brokerages, and none of this really could have been learned effectively without having first operated as a successful agent and brokerage in the U.S., because we’re really exporting the best of the best to these International markets and how some of the stuff that we operate with in some of the customs that we’ve adopted over the years really provides significant benefits to the whole marketplace. So, this is starting to really play out well. Obviously, we’ve got three countries. We’re opening, I think, March. We’ve got Peru. We’ve got Egypt as soon as we can get some of the legal documents finalized, which can take a while. Turkey’s pretty close as well. We’re thinking April will be the launch there. And then we also have a couple other countries that are incubating in the background. We’re also doing -- making some changes relative to some of the different countries and the leadership and creating ways to bring in the best of the best. Another thing that I play with quite a bit is this idea that on International, if you ever get a chance to go back and watch the movie Moneyball, we’re bringing the concept of Moneyball and making sure that we’ve got the right people, the best people, at the table with us helping us grow the International side of the house. So, just a few things on International, but super excited about where it’s going and how it’s starting to just start into that hockey stick curve that we saw, especially in the U.S. in 2015, 2016, 2017, 2018. We’re starting to see that curve start to kick in on the International side of the house.
Denise Garcia: Great. All right. Thanks. Next question is for Leo. Leo, what’s your strategy to help eXp agents win in 2025?
Leo Pareja: Thanks, Denise. Our strategy will be continuation of what we’ve been doing in 2024. eXp’s really carved its corner out as where the probe’s going to grow. It’s our unparalleled opportunities that we offer agents to grow their business. I really describe the company as a platform that allows real estate entrepreneurs to build whatever size dream they want. And so, we’re fortunate enough to partner with agents like that you just met a little bit ago and also the agents that sell eight to 10 homes a year. And our focus is on operational excellence, followed with world-class technology partnerships and really continue to improve the value stack. So, in 2025, we’re just going to double down and actually increase our investments and what’s working for long-term growth. Agent incentive programs have been working. You saw our announcements of Sisu and Canva, and most recently at the Nasdaq, we disclosed we’re going to be switching to Slack Pro. So, when you look at what companies that think they’re technology companies and say they’re going to build it all themselves, we’re wanting to take the resources that we have to actually partner with a best-in-class tech stack and actually hold them accountable. We can actually go to our vendor partners and say, if you’re not the leading technology when your contract’s up, we’re going to top grade and continue to improve. Then finally, we’re going to really focus on training. I touched on in my presentation earlier with FastCAP, when Glenn started this vision 15 years ago, it was the only game in town. I -- we’ve all seen that most new companies will look more like us than our legacy competitors. And so, we’ve moved on from chapter one of just purely the model to doubling down on an entire value stack that can take an agent through their entire lifecycle. So, 0 to 1, 1 to 10, 10 to 50, 50 to 250, whatever their journey takes them on. So, as we look forward, I’m not concentrated on this quarter, even this year. We’re trying to make sure that our platform will sustain decades ahead of us.
Denise Garcia: That’s great. Thank you. Thank you, Leo. And now, Wendy, one for you. You identified many components within eXp’s agent value stack during the presentation. Which ones of these are you seeing resonate most with agents more recently?
Wendy Forsythe: Thanks, Denise. Yes. That value stack graphic is one of my favorite because it really does demonstrate how robust our offering is to support our agents throughout their entire day. So, to answer your question, I think it depends on the stage of the day most of our agents are in. So, certainly from a marketing perspective, Canva has been a huge hit for our agents. We mentioned the number of almost 190,000 designs being created in the first 60 days. Canva has allowed our agents to lean into easily creating marketing tools for their business. Sisu is another tool from our value stack that has allowed our agents to bring accountability tracking into their business, which is an important part of increasing productivity. And speaking of productivity, FastCAP. Leo mentioned the numbers for FastCAP. That program has just been tremendous at helping agents start or restart those habits that are needed to grow production in their business. And lastly, I’ll mention just the overall support that our teams are able to give our agents. Our expert care desk handled over 3.6 million tickets last year and was able to serve those incoming calls within 37 seconds and resolve a vast majority of those questions during that first interaction. So, for our agents, that’s tremendous. When you need support, you want to be able to get your questions answered immediately and we’re able to do that. For new agents joining us, we onboarded 94% of new agents within 24 hours, less than 24 hours, which is tremendous for a new agent that is joining us. The last part of support that I’ll mention, there’s so much there, but getting agents paid. When we think of our value stack, all of those other things around that graphic that I shared pivot to that day that you get paid, that you get your commission check and 90% of our transactions settled within 24 hours, meaning we get you your money in your hands ASAP and we know how important that is. So, all of those different elements at different times of the day mean different things, but they all add up to allowing you to do your business more effectively with us and that’s our goal.
Denise Garcia: Great. All right, Kent, a question for you. As you think about 2025 through the lens of a growth market -- growth mindset, how are you thinking about building on the progress that was made in 2024?
Kent Cheng: Yeah. Thank you for the question. I think our 2025 probability will probably depend on how the housing market plays out over the course of 2025. As you can see, the interest rate is still high in the more 6.9% or 40-year mortgage rate. There’s still some uncertainty in the market. Recently, we looked at the Fannie Mae latest forecast. Fannie Mae still forecast U.S. house market will down about 3% in Q1 and then see some single-digit growth in second half. So, that’s more like the market condition. And as you see the performance in Q4 and last year, we did a really great job, increased adjusted EBITDA, we grew our revenue, we optimized our cost structure to maximize productivity by identifying many new agent-centric growth incentives. So, I think in 2025, we are going to continue to focus on agent-based initiative and investment that in our pilot, such as incentive technology, improve our process to drive the long-term growth as Leo just mentioned.
Denise Garcia: Great. All right. Thank you, Kent. Now, I’ll open up the call to our questions from analysts. John Campbell from Stephens, if you have a question, you can go ahead.
John Campbell: Yeah. Thanks, Denise. Thanks for the time, guys. But Leo, this one’s for you. I mean, you’ve obviously been one of the kind of main public figures on the other side of the CCD -- CCP debate from Compass. I’m hoping that you can maybe provide a quick recap of your latest thoughts, where you think this ultimately shakes out and then to what extent you can without obviously showing your cards. I’m assuming that if we assume that the industry listings landscape ends up being fragmented, how you guys might like to respond? I’m thinking House Hunters maybe has a role somewhere in there, but where else might you be able to leverage your kind of scale in national footprint?
Leo Pareja: Yeah. Thank you for the question. And you’re correct, I’ve been not shy about my opinion on this. Our vantage point is from being a global operator. North American Real Estate, in my opinion, is the most beautiful, liquid, accurate dataset that exists and we are the envy of the world. And I can say that not only from sitting in this seat, but my previous company was a MLS technology company. And I had countries such as Australia and Japan reach out to try to figure out how to replicate what we have, because this is such a better format to do what’s best for consumers. I am being very direct in the answer that I think the other side of the argument is a selfish, self-fulfilling, profit-driven thing, not the best thing for consumers. I also will go as far as say, I think they’re inviting a class action lawsuit by sellers who get hurt in this very concentrated effort and maybe a visit from the Department of Justice. If I were to sell my home, I would list it on the MLS, full stop, best way. If I was giving you advice, John, I would do the same for yourself and your family. With that said, there’s typically a reason for an exception once in a while. For example, a tenant-occupied residential property that can’t have access for 11 months remaining, that actually can’t be listed in the MLS guidelines, because you have to have available resources for showing a property. Maybe a new construction property that is basically a hole in the ground and you don’t want people showing up and being unsafe. And there are situations, and there are legitimate situations. I grew up selling real estate in the D.C. market, so we had prominent government figures that didn’t want their properties advertised anywhere. I’ve seen folks in the border parts of El Paso, and also in Miami, where my technology operated, where there was law enforcement concerns. But that’s 1%, 2% of the transactions. I truly think that the most exposure in the shortest amount of time is the next -- the net thing that’s best for the seller. That’s the first part of the question, John. The second one is, how would we respond in kind? I have not been shy as well to both tell NAR and anyone listening that if we go to a fragmented world, it is bad for the consumer. But if that’s the cards that we’re dealt with, we’re the single largest platform in the United States. We have more agents and we do more unit transactions than anybody else by a huge margin. So we are, from a technology stack, completely operational and can do this at scale. Again, we prefer to operate within the framework that exists today, because we think it’s the best thing for the consumer. But if we kind of go backwards in time, 50 years, how Glenn described with his opening comments, and we look more like commercial real estate, we will have an unfair advantage on everybody. But again, emphatically, I don’t think it’s the best thing for the consumer. So I’m really hopeful that we can have sound minds come to reasonable outcomes here, John.
John Campbell: Yeah. That’s great feedback. I appreciate that. And then going back to the cost or the profit question for you, Kent, you guys really have shown great cost discipline throughout the year and growing EBITDA pretty nicely this year. I’m hoping we can maybe just kind of do a quick spot check or refresher on the OpEx side. First, what’s the mix between fixed and variable that you guys have now? And then secondly, looking out the rest of the year, can it sound like that some of this will be contingent on U.S. housing, but just broadly how you’re thinking about fixed cost growth? And how much of that’s fully committed versus how much is going to be influenced by the broader market?
Kent Cheng: I think that’s a good question. I would say a lot of our costs, right, we can flex up and down, right, because a significant part of our cost is support onboard the agent, support, complete the transaction. So I would say a significant part then can be flexed up and down based on volume. Another part is we are investing in AI, right? Eventually, we’re going to see some, we’re going to see payoffs. I mean, eventually AI will help us to also flex up and down and really leverage technology to become more efficient.
John Campbell: Makes sense. Thanks, guys.
Glenn Sanford: And I would add just to add, on the International side, we’re definitely focused on opening up more countries. And so that does add additional cost components to the overall mix, but that has its offsetting benefits two years or three years out of revenues and then getting to scale, et cetera. So I’m focused, or as an organization, we’re focused on getting to as many markets as we can handle in a reasonable period of time and that obviously then has a cost factor that goes with it.
John Campbell: That makes sense. And then one more here. I mean, I’m seeing this in the chatbox and I actually had the same question. You guys are now providing real estate transactions as opposed to total transactions. Maybe talk about the rationale there and if we can get historical numbers to match up.
Kent Cheng: John, you said the real, okay, make sure I understand your question. We provide real estate sales transactions, correct?
John Campbell: Yes. I think you provided total transactions. So what you provided in the back look, the year-over-year quarter is different than what you guys provided last year.
Kent Cheng: No. I think what we provide should be pretty comparable. Yeah.
John Campbell: Okay.
Kent Cheng: Yeah. We can maybe, I can walk you through some offline if you need to look at a number. Yeah.
Denise Garcia: Okay. Thanks. Thanks, John. I think we have another question here from our analyst at William Blair, Matt Filek. Matt, you can go ahead.
Matt Filek: Thank you, Denise. Hey, everyone. You have Matt Filek on for Stephen Sheldon. Thank you for taking my questions. Wanted to start with one on agent trends. How should we think about agent count trends in 2025 and can you also provide some context on how agent trends may look between domestic and International markets, especially since you just entered some new International markets and there’s clearly an increasing focus on growing that part of the business?
Glenn Sanford: Yeah. I’ll touch a little bit on it. We’ve been, obviously our total agent count is down year-over-year. One of the things that we were doing was some math on the number of agents that left us last year in aggregate is about 29,000, including some agent cleanup in the International side of the house. And then when we sort of work out the math, we effectively have added, we now have more productive agent count than we did a year ago. So what that number is, it’s -- my back of the napkin says it’s 3,000, 4,000, 5,000 net productive agents that we have on the eXp platform versus a year ago. But that’s not -- that’s a bit of a swag. But it is -- what we’re doing on the International side is focused on productive agent count as being our driving metric and we’re certainly seeing that domestically because we did have so many people leave eXp and the industry with no production last year domestically. So on the International side, we could add another, 2,000, 3,000, 4,000 agents to the mix in the next 12 months. I don’t think that’s anywhere out of question, maybe more than that. Certainly, domestically, there’s still a lot of agents who weren’t selling that much that are still somewhat churning out. But on a net productive basis, I think our numbers are continuing to trend up. So Leo, I don’t know if you want to add any other color to that.
Leo Pareja: Yeah. So at our size and scale, it’s not uncommon for us to be more reflective of the overall market when it comes to agent churn. 30-year low in 2024 from historical average. But what we’ve been focused on is really retaining and attracting the most productive agents. So, all 90% of our churn sat between zero and seven transactions per year with more than half of them being at zero. So we’ve really focused on maintaining and attracting the highest productive individuals, as well as team leaders. So to me, 2025 looks like a win if our focus is continued on productive agents. Because as we continue, and by the way, I’ve been saying this quite a bit on media interviews. This is not a kind of two-quarter situation we’re going to be in. I’m feeling that we’re going to be in this low transaction count for the foreseeable future, like a couple of years, 18 months, 24 months, 36 months. Obviously, you can’t have a crystal ball, but it’s not a short-term thing. So as we look at how we last and survive and compete in a low inventory environment, it’s really about making sure that we’re partnered with the best producers in all the markets that we operate in and continue to add to the value stack. So the agent count is less important when we look at transaction count and making sure that we’re in business with the folks controlling the business in every market.
Matt Filek: Got it. Thank you, Leo and Glenn. That was helpful. And then on International, can you just remind us how you are thinking about the timeline to getting these new countries profitable and then maybe just recap what countries currently are profitable? I know there are a few. Just trying to gauge when International as a whole could reach a profitability inflection point?
Glenn Sanford: Yeah. So on a whole, it’s going to be -- it will be a while. And mainly because we’re, we want to get to 60 plus countries in the next five years. So that means there’s a lot of infrastructure. There’s a lot of test and learn at the local level. There’s a lot of mistakes yet to be made as we figure out what is the right way to do things in each new country. But we do have a number of countries that are in strong positions. U.K. was a strong market for us. France, South Africa and a few others also have been and continue to be profitable. So we do have a number of markets that are more mature. I’d say the U.K. is probably the most mature as a market, and it’s a solid, over seven figures net last year to us. So we’re definitely seeing these markets turn the corner. But my goal is to invest and in International to get us to scale. So when we have these conversations five years from now, it’ll be the largest profit center for the company, because we will be -- we’ll have more than 50% of all agents will be in the International side of the house.
Matt Filek: Got it. Thank you, Glenn. And then last one for me, know this is a smaller piece of the business, but notice that your commercial brokerage part of the business recently partnered with CoStar to give your brokers access to that platform and was just hoping that you could maybe quickly touch on that partnership along with the number of commercial brokers you currently have and just your overall plans for growing that part of the business?
Leo Pareja: Yeah. I’ll take that one. The CoStar partnership is important as we look at competing in that segment. And when you look at the agent counts and what’s important to them, I can’t correct me if I’m wrong. I’m not sure if we break that out. So I don’t want to make a forward disclosure statement here if I can’t say that number publicly, but it was important that we had the best in class stack. So just how we view our agent value proposition on the residential side and making sure that the value stack exists properly. Commercial is no different. We partner with CoStar as well as Buildout for a best-in-class commercial CRM. And we’re continuing to explore different opportunities because within the CoStar partnership, it’s not just the CoStar portal, but it’s also discounts on LoopNet, BizBuySell for our folks that engage in business brokering. So it’s a myriad of things as we look to that space. And that one feels a lot like International in the sense where there’s a great opportunity. There’s a lot of expansion there from a revenue standpoint and we’re still early on in optimizing what that stack could look like. There’s a couple of other products that we’re looking at, as well as disciplines and services to add to the value stack. So I’ll let Kent say if we’ve actually disclosed the breakdown publicly and he can answer that question.
Kent Cheng: Yeah. We have not break down the agent count between commercial and residential. But what I can say is commercial agent count is still representing a very small percentage of the total agent count.
Matt Filek: Okay. Appreciate the time.
Denise Garcia: Thanks, Matt. I think we have one other question from Wyatt Swanson at D.A. Davidson. I know you’re not on the stage, but if you want to open your mic, I think you might be able to ask a question.
Wyatt Swanson: Hi. Yes. Can you hear me?
Denise Garcia: Yes.
Wyatt Swanson: Great. Thanks. I’m on for Tom White. Thank you for taking our questions. So related to the earlier operating expenses question, can you talk a bit about how you envision operating expense growth playing out in calendar year 2025? And maybe comment on your willingness to cut investment in some of your longer term initiatives to cushion the bottomline impact of any protracted slowdown in the broader housing market just as the year progresses?
Glenn Sanford: So I guess the -- we are operating, as Kent mentioned, our expenses are pretty variable. It’s been sort of designed from the ground up as being a business that can operate from a variable perspective, which gave us, and you got a chance to look at, I think Wyatt, even back in 2000 when we had to pivot hard during COVID and we’ve pivoted a couple times over the last five years, we have the benefit that most don’t, which is we have very little fixed cost expenses. So if we need to, we have the ability to cut back, but to the overall mission and to the extent that we can get to a larger market overall, that’s the longer term goal because at the end of the day, for us, we want to be the most agent-centric real estate brokers on the planet, but we also want to be all over the planet as a company. And we think that we’ve proven that this model actually makes sense to agents all over the world and it’s right now it’s starting to get traction in multiple markets outside of just the U.S. and Canada. So for us, we want to just continue to lean in on that, especially as we get momentum. The last thing we’d want to do is to actually kill momentum by cutting back on growth.
Wyatt Swanson: Got it. That makes sense. That’s really helpful. And then maybe a higher level one, how do you see agentic AI operators and similar technologies impacting your business and the brokerage industry over the coming years?
Glenn Sanford: Yeah. Well, fundamentally, I think it’s going to change everything that we’re doing. I mean, you’re looking at what we’ve got with operator, with OpenAI, certainly Project Mariner that’s coming out with Google and a number of other models that will allow for repetitive work that still takes some knowledge of what to do if. A lot of that stuff’s going to become significantly automated through AI. And we’re working with various tool sets right now internally to speed up the processes of a lot of different things, including things like the automation using AI of contract management, which is something we started investing in in 2021 and we’re now at a point where we’ve proven up that our document AI platform will start to actually help agents understand that they’ve got good paperwork. Sooner in the process, it’ll start to actually develop the DAs and start to do a lot of the pre-work with the supervision of managing brokers. But a lot of this stuff is going to speed up and make the whole process a lot cleaner. My rallying cry to the organization is that we certainly don’t expect to be the same size, but I would expect that five years from now, if nothing else changed, we’d be able to run eXp as it exists with approximately one-third to one-half of the current staff. I fully expect that those who are plugging in and using AI and our citizen developers and helping us grow, that there won’t be any challenges with them continuing to grow with the company because we are growing, but it will be a different landscape and a different cost structure because of agentic AI and all the other AI technologies that are rapidly coming at us.
Wyatt Swanson: Got it. I really appreciate the color there. Could you provide maybe an update on agent commission rates? It doesn’t seem like the NAR settlement has had much of an impact, but kind of curious as to what you’re seeing with your business on this front?
Leo Pareja: I’ll jump in on this one. Right after the settlement, there was a report put out by Mike DelPrete that took anonymized data from about 55,000 transactions from a broad amount of companies. In the subsequent 90 days after the settlement, it was roughly 10 basis points, which if we look on a historical trend chart, that could be a seasonality difference. Going into Q1, it looks similar to how we’ve operated in past years. So I just did a call with Associated Press before jumping on here. The question is, how have the changes impacted? There was an educational hurdle there to cover. We felt like we led that quite well. We got a lot of coverage from several folks that way, from Consumer Federation of America to Tanya Monestier [ph] of the Buffalo School of Law. The -- it was more of a procedural change than an educational one, but we have not seen commissions move in any meaningful way up or down.
Wyatt Swanson: Got it. Thank you both. I appreciate it.
Denise Garcia: Thank you. Thanks, everyone, for joining. As always, please stay connected by visiting expworldholdings.com for the latest updates on eXp news, results and events. Additionally, you’ll find a recording of this call and our latest investor presentation on the Investors section of the site. This concludes the eXp World Holdings fourth quarter and full year 2024 earnings fireside chat.